Operator: Good morning everyone, I will be your conference Operator today. At this time, I would like to welcome everyone to the Advent Technologies third quarter earnings conference call.  All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. On the call today, we are joined by Dr. Vasilis Gregoriou, Advent’s Chairman and CEO; and Kevin Brackman, Advent’s CFO. Before we begin the prepared remarks, we would like to remind you that Advent issued a press release announcing its third quarter 2021 financial results shortly before the market opened today. You may access the material on the Investor Relations section of ir.advent.energy. I’d like to remind everyone that during the course of this conference call, Advent’s management will discuss forecasts, targets, and other forward-looking statements regarding the company’s future, customer orders, the company’s business outlook that are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 for forward-looking statements. While these statements represent management’s current expectations and projections about future results and performance as of today, Advent’s actual results are subject to many risk and uncertainties that could cause actual results to differ materially from those expectations, in addition to any risks highlighted during this call. Important factors that may affect Advent’s future results are described in its most recent SEC reports filed with the Securities and Exchange Commission, including today’s earnings press release. Except as required by applicable law, the company undertakes no obligation to update any of these forward-looking statements for any reason after the date of this call. Lastly, information discussed on this call concerning the company’s industry competitive position in the market in which it operates is based on information from independent industry and research organizations, other third party resources, and management’s estimates. Management estimates are derived from publicly available information released by independent industrial analysts and other third party resources, as well as data from the company’s internal research and are based on assumptions made upon reviewing such data and the experience and knowledge of such industry and markets, which it believes to be reasonable. These assumptions are subject to uncertainties and risks which could cause results to differ materially from those expressed in the estimates. Please note this call is being recorded. Kicking off the call will be Dr. Vasilis Gregoriou. Dr. Gregoriou, I will now turn it over to you.
Vasilis Gregoriou: Thank you Operator. Good morning, everyone, and thank you for joining us on Advent’s third quarter 2021 earnings call. I’m joined today by Advent’s CFO, Kevin Brackman. On today’s call, I will provide some brief comments regarding our third quarter results, followed by an update of the business. I will then turn things over to Kevin to review our financial performance and outlook in more detail.  After the acquisitions of SerEnergy and UltraCell, we’re now rolling out complete hydrogen fuel cell systems which have integrated the acquired business under one structure and one brand name and a global sales force is now in place to expand our reach in North American, the European, and Asian markets. The focus is on delivering complete clean energy systems and replace diesel generators with key applications in telecom power backup, which is our SerEnergy system, critical infrastructure power, which is our M-ZERØ system that significantly reduces methane emissions, and defense and portable power, which is our Honey Badger system. To accomplish our commercial goals, we have expanded and trained a global sales force, and we are courting strategic global partnerships to accelerate revenue. In the third quarter, we delivered $1.7 million in revenue, up 643% from the prior year, driven by strong customer demand for Advent’s high temperature MEAs and Redox flow battery materials, as well as acquisitions of SerEnergy, fischer eco solutions, and UltraCell. We continue to have strong cash reserves, totaling $92 million at quarter end. In all, our performance this quarter leaves us confident about the long-term growth and earnings potential of the company.  We had a busy quarter, highlighted by the August 31 closing of the acquisition of SerEnergy and fischer eco solutions, the fuel cell business of the fischer group. SerEnergy, operating in Denmark and the Philippines, is a leading manufacturer of high temperature hydrogen fuel cell systems globally with thousands shipped around the globe during its 15-year operations. fischer eco solutions, based in Germany, provides automated fuel cell stack assembly and testing as well as the production of critical fuel cell components, including membrane electrode assemblies, bipolar plates, and reformers. The acquired businesses specialize in manufacturing of hydrogen fuel cell systems and aligns with Advent’s ability to provide clean power into stationary, remote, portable, and off-grid markets under the Any Fuel Anywhere value proposition. Our ability to deliver hydrogen through liquid fuels allows to have immediate market opportunity today without having to wait for the global hydrogen infrastructure to develop. The acquisitions also accelerate our strategy to cover the fuel vertical supply chain with our products. We are in a competitive position to deliver reliable, efficient, and cost effective fuel cell system with a new product portfolio of the latest high temperature PEM fuel cells, covering a range of 25 watts to 90 kilowatt systems. The acquisition also makes Advent a leading manufacturer of high temperature PEM fuel cells for critical backup, temporary or continuous 24/7 power to stationary market across Europe and Asia. Expanding our business in Europe and Asia is a strategic move and allows to have well placed production capabilities and market penetration.  We are already seeing the benefits from the acquisition through our partnership with Smart Communications, a leading telecom provider in the Philippines. In October, we completed the first installation of HG 5000 fuel cell systems in the Philippines as part of Smart Communications’ rollout of sustainable energy solutions to telecommuncation [indiscernible] sites.  In October, we announced that Advent’s partner in Thailand placed a new order for SerEnergy’s fourth generation 5 kilowatt fuel cell systems. The new fuel cell stacks and reformers are intended to support internal test setups and evaluate performance and to showcase results with Thai telecom operators, as well as support government projects to microgrids on remote islands.  Advent grew its team by 92 employees with the acquisition, now employing over 170 people across the world. The acquisitions bring together some of the leading minds in the high temperature fuel cell space and further expands Advent’s platform to meet the increasing demand for clean energy worldwide. We now hold over 100 issued patents worldwide for our fuel cell technology and have 38 R&D projects.  Another significant development in the third quarter was the continued progress of the White Dragon and Green HiPo projects in Southeastern Europe. On September 7, Advent announced that these two important projects of common European interest have been approved by the Greek Minister of Development and Investments and the Greek Minister of Environment, Energy, and Climate Change. These projects were among five projects out of 20 submitted to receive approval. The White Dragon project aims to replace coal-fired power plants across Western Macedonia and transition to clean energy production and transmission. The project plants will use renewable electricity to produce green hydrogen by electrolysis, will then be stored and through Advent’s high temperature PEM fuel cells, supply Greece with green electricity, green energy, and heat. The Green HiPo project is complementary to White Dragon in that focuses on the development, design, and manufacturing of high temperature PEM fuel cells to produce heat and power. The projects are part of the Hydrogen Technologies IPCEI and will now move towards approval at the European Union level.  As a next step, Advent will demonstrate before the European Commission the economic, environmental, and technical feasibility of the project, and the positive spillover effects to the European Economic Society. Advent hopes to receive final notification from the European Commission by mid-2022. If both projects are approved, we will provide the technology that will power White Dragon’s green energy plan. These projects are of special significance to the future growth of our company, as we will be the designated technology partner for a potentially €8 billion project. If approved, Advent and the White Dragon consortium of companies will implement the project between 2022 and 2029. In terms of capacity, the White Dragon and Green HiPo projects will represent 4.65 gigawatts of green hydrogen and 400 megawatts of fuel cells. In addition, we’ll be a key player in the decarbonization of Southeastern Europe’s energy system. As Greece looks to decommission all coal-fired power plants by 2028, we see Advent Technology as an integral part of the energy transition. We are pleased to be the technology partner for such a large and important environmental project in Europe and to have received approval from the Greek government. We look forward to being able to provide more information around EU approval and the final scope of the project in the coming months. Our effort with the Department of Energy National Laboratories also continues to gain momentum. This group of leading scientists and engineers is working closely with Advent’s development and manufacturing teams and are furthering the understanding of breakthrough materials that will advance high temperature PEM fuel cells. The next generation of high temperature PEM is well suited for heavy duty transportation, marine and aeronautical applications, as well as delivering benefits in cost and lifetime for stationary power systems used in telecom and other remote power markets. The next generation MEA, which will be scaled to manufacture form in 2022, is expected to be in products in 2023 and has drawn interest from several multinational businesses.  Advent remains well positioned to take advantage of the growing focus on clean energy, and we’re encouraged that government, businesses and society will work together to address the climate crisis. Reflecting on the recent UN climate change conference held in Glasgow, we see evidence of the growing support for the fight against climate change. We believe our fuel cell technology and the hydrogen economy will play a key role in [indiscernible] decarbonization. With that, I would like to hand over to our CFO, Kevin Brackman.
Kevin Brackman: Thank you Vasilis.  Turning to our financials, as Vasilis noted earlier, we delivered revenue of $1.7 million in the third quarter, a 643% increase from the prior year. The increase was driven by growing customer demand for Advent’s MEAs, fuel cell systems, and other products, as well as the August 31 acquisition of SerEnergy and fischer eco solutions, and the acquisition of UltraCell earlier in the year. Cost of revenues increased $1.6 million year-over-year in the third quarter. The increase was directly related to revenue growth over the last year and the requirement for increased production of MEAs and fuel cell systems to satisfy customer demand, as well as the completed acquisitions.  R&D expenses were $0.9 million in the third quarter, primarily related to our cooperative research and development agreement with the Department of Energy which we announced in March, as well as the R&D costs at SerEnergy and fischer eco solutions in the month of September.  Administrative and selling expenses were $13 million in the third quarter, a year-over-year increase of $12.2 million primarily due to increased staffing and costs to operate as a public company, costs related to the acquisition of SerEnergy and fischer eco solutions, stock-based compensation expenses, and a non-recurring $2.4 million charge for executive severance. Net loss totaled $11.3 million in the quarter and adjusted net loss was $10.4 million. I should note that our adjusted net loss excludes the offsetting impacts from the change in the fair value of outstanding warrants and the charge for executive severance, as well as acquisition-related costs. Our net loss per share was $0.23 in the third quarter of 2021. Advent remains well capitalized with $92.5 million in cash reserves on the balance sheet, which provides us with the flexibility to be agile in executing on our strategic and operational priorities. This is a decrease of $23.6 million from June 30 of 2021, driven by approximately $13.5 million for the acquisition of SerEnergy and fischer eco solutions net of the cash acquired, and the increased level of administrative and selling expenses. Our existing cash reserves and projected cash flows are anticipated to be sufficient to support our planned operations for the next 12 months. Turning to our outlook, based on our performance to date and the current macro factors, we expect to invest between $35 million and $40 million in combined capex and operating expenses to develop our next generation fuel cell products and expand our business. This is adjusted to exclude non-recurring charges related to the AMCI business combination and executive severance. We plan on utilizing between $25 million and $30 million on a net cash basis, which reflects our current revenue projections and excludes non-cash stock-based compensation expenses. We continue to anticipate entering 2022 with a significant portion of our current cash balance and a liquidity position that will allow us to fund operations for the foreseeable future. In closing, we believe Advent is well positioned for the future of clean energy across a variety of end markets. The company has built a solid foundation for the business and continues to grow and execute on its strategic initiatives. With that, I will hand back over to Vasilis for closing remarks. 
Vasilis Gregoriou: Thank you Kevin. We believe the heart is in economies now and there is a market opportunity for our Any Fuel Anywhere fuel cell products. The issue of climate change and the need for decarbonization is only growing, providing the need for total solutions and positive change to tackle these difficult issues. We’re committed to providing the technology to create a cleaner decarbonized world. I want to thank you all for joining us today and we’re now ready to answer questions. Thank you very much.
Operator: [Operator instructions] Your first question comes from the line of Laurence Alexander from Jefferies. Your line is open.
Laurence Alexander: Good morning. Could you sketch out in more detail what being the technology advisor on White Dragon means in terms of how much of the €8 billion project potentially could flow through your P&L, either as a project coordinator or through product sales? Can you just give a sense for kind of what the range of scenarios might be?
Vasilis Gregoriou: Yes, it is difficult to say that because we don’t know exactly the level of funding after we approve, but I can tell you it will be very significant, meaning that we’re not an advisor, we’re the technology provider, meaning that we are the only company there that has the capability to make the fuel cell and the technical infrastructure when it comes to the hydrogen part. Therefore I would expect it to be very significant, and it will be a big portion of the final number.
Laurence Alexander: I guess just to clarify, so your position would just be selling the equipment or would you also be coordinating parts of the project in an E&C capacity and then taking that through your P&L as well?
Vasilis Gregoriou: We would design the equipment. Keep in mind that there’s two projects under one. One is the White Dragon umbrella project, and then there is the Green HiPo, which is ours. The umbrella project, we will be part of the JV, so we will take income from that as well being part of the consortium, but our role with the Green HiPo is to provide the machines, if you will, to the White Dragon JV, so we will get income from two different avenues, if you will. One is from selling the equipment and the other from being part of the White Dragon, the JV.
Laurence Alexander: And the capacity expansion to support the Green HiPo, that would be capacity that then you keep after the project is completed, or does that get transferred to a third party?
Vasilis Gregoriou: No, no. We keep it.
Laurence Alexander: Great. Then just last question, can you give a sense for the rough split between MEA sales and system sales, or how you think that’s going to evolve over the next couple of years? Will one dominate the other?
Vasilis Gregoriou: Go ahead, Kevin. I can say a little bit more.
Kevin Brackman: Yes, so over the next couple years, what we envision is our system sales would be roughly half of our overall revenue, which would be significantly more than the MEA sales. MEA, I think we’re projecting around 20% of our overall revenues, so about 50% from systems sales, 20% from MEA sales, and then the remainder would be engineering fees, licensing fees, etc. So, that’s kind of the breakdown that we anticipate.
Laurence Alexander: Okay, great. Thank you very much.
Operator: Thank you. [Operator Instructions]. Your next question is from the line of Adam Forsyth from Longspur. Your line is open.
Adam Forsyth: Hi guys. First question just on the gross margin, which obviously is a lot lower in Q3 compared to the very good numbers we saw in Q2. I wonder if you could give us some background for that and give us perhaps a feel of how representative it is? In particular, I wonder if you can say something about pricing and also about supply chain, whether you’re seeing any cost impacts on the supply chain side as many others are. Perhaps related to that, I wonder if you can give us a feel for actually even megawatts of capacity sold in this quarter, and then also can you give us a breakdown of the non-recurring costs which have been a feature? Then, if it’s not too many questions, just one final one, just talk about R&D expenditures at fischer and on SerEnergy, what sort of R&D are they actually undertaking? What are they doing? Is it complementary to the work within the historic Advent Group or is it something very different? Thanks.
Kevin Brackman: Thank you Adam. Let me try to tackle those questions, and maybe Vasilis can follow up with anything I miss.  On the gross margin, I think right now with a small revenue base, our gross margin is probably going to be volatile from quarter to quarter depending on the mix of products and the mix of customers that fall on any particular quarter. That’s why you may see a swing from 30% one quarter, which is I think, where we were in Q2, to a very small margin in Q3. That’s the reason for the fluctuation in the gross margin, and we’re still targeting -- long term, we’re still targeting a gross margin of 30%. Let me take the second part of your question, it was related to non-recurring costs in SG&A. Let me give you a feel for that. SG&A costs were about $13 million in Q3. That includes a non-recurring charge of roughly $2.5 million for executive severance. It also includes about $1 million, just under $1 million related to acquisition-related costs, so if you remove those, that gets us down closer to the $10 million range. Now having said that, keep in mind we only had SerEnergy and fischer for one month in the third quarter, so when you-- in future quarters, when we have a full quarter of their results, I would expect maybe another $1 million of SG&A costs related to that. I think run rate moving forward should be in the, let’s say, $10.5 million to $11 million range for SG&A costs.  Now, that’s not all cash. There’s about -- moving forward, I expect around $3.5 million per quarter of stock-based compensation expenses which is non-cash, and so let’s say $10.5 million in total, $3.5 million will be non-cash, so roughly $7 million a quarter in cash SG&A expense. Then the third part of your question was R&D, so we had $900,000 of R&D costs in the third quarter. Again, that only includes one month of R&D costs at SerEnergy, so when we have a full quarter of expenses with the acquired businesses, I would expect our R&D number will be a little bit higher than what we had in the third quarter.  Hopefully that answers your numerous questions. Vasilis, I don’t know if you want to add on to that?
Vasilis Gregoriou: No, I think we’re fine. I don’t know if Adam wants something more?
Adam Forsyth: Yes, it’d just be nice to get a feel for the actual R&D that’s being undertaken, because it feels like it must be [indiscernible] the core Advent R&D. It’d be interesting to see what sort of direction they might take you.
Vasilis Gregoriou: Yes, listen - I can give you a qualitative overall answer. Keep in mind that we’re very happy that finally we have a global green energy company, right? I mean, we have operations in many parts of the world, we have different types of products, and all of them--you know, they have something to gain from each other. We have the Honey Badger, the M-ZERØ, now we have SerEnergy, as you say, with the telecom product--you know, the liquid cool system.  We all talk to each other and it is our job also to integrate the groups in the right way, so definitely there is a central direction to all of this. But as soon as we get new products and new capabilities and new development needs and costs, we integrate that under one umbrella. But that’s where we’re at--that’s where we’re now.
Adam Forsyth: Great, that’s really helpful, thanks. 
Vasilis Gregoriou: Thank you.
Operator: Thank you. We have no further questions. I would now like to t urn the call back to Dr. Vasilis Gregoriou for final remarks. Dr. Gregoriou, please proceed. 
Operator:
Vasilis Gregoriou: I want to thank everybody for being on this call. I don’t have much more to say. We’re very happy about the progress. We’re on a very positive trajectory, and we’re looking forward to the next quarters. We have transferred the company from, as you remember, a materials company to a systems company right now, and we have a mix of very exciting new products. The market is positive, and we’re giving our best in order for us to get the right amount of revenue. Keep in mind we came from [indiscernible] and we have that as well to deal with, but I think overall we’re on a very good trajectory, as I said before, and we’re looking forward to the next quarters. Thank you.
Operator: This concludes today’s conference call. Thank you all for participating. You may now disconnect.